Jeff Su: Good afternoon, everyone, and welcome to TSMC's First Quarter 2021 Earnings Conference Call. This is Jeff Su, TSMC's Director of Investor Relations and your host for today. To prevent the spread of COVID-19, TSMC is hosting our earnings conference call live via live audio webcast through the company's website at www.tsmc.com, where you can also download the earnings release materials. If you are joining us through the conference call, your dial-in lines are in listen-only mode.
Wendell Huang: Thank you, Jeff. Good afternoon, everyone. Thank you for joining us today. My presentation will start with financial highlights for the first quarter 2021. After that, I will provide the guidance for the second quarter 2021. First quarter revenue increased 0.2% sequentially in NT dollars or 1.9% in U.S. dollars. Our first quarter business was supported by HPC-related demand, balanced by a milder smartphone seasonality than in recent years. Gross margin decreased 1.6 percentage points sequentially to 52.4%, mainly due to relatively lower level of capacity utilization and an unfavorable foreign exchange rate. Total operating expenses slightly increased by TWD 0.8 billion, mainly due to higher level of R&D activities for the N5 family. Therefore, operating margin decreased by 2 percentage points sequentially to 41.5%. Overall, our first quarter EPS was TWD 5.39, and ROE was 29.5%. Now let's move on to revenue by technology. 5-nanometer process technology contributed 14% of wafer revenue in the first quarter, while 7-nanometer accounted for 35%. Advanced technologies, which we now define as 7-nanometer and below, accounted for 49% of wafer revenue. Now moving on to revenue contribution by platform. Smartphone decreased 11% quarter-over-quarter to account for 45% of our first quarter revenue. HPC increased 13% to account for 35%. IoT increased 10% to account for 9%. Automotive increased 32% to account for 4%. DCE increased 10% to account for 4%. Moving on to the balance sheet. We ended the first quarter with cash and marketable securities of TWD 797 billion. On the liability side, current liabilities increased by TWD 45 billion, mainly due to the increase of TWD 49 billion in short-term loans, an increase of TWD 50 billion in accrued liabilities and others, partially offset by the decrease of TWD 51 billion in accounts payable.
C.C. Wei: Thank you, Wendell. We hope everybody is staying safe and healthy during this time. First, let me talk about the capacity shortage and demand outlook. Our customers are currently facing challenges from the industry-wide semiconductor capacity shortage, which is driven by both a structural increase in long-term demand as well as short-term imbalance in the supply chain. We are witnessing a structural increase in underlying semiconductor demand as a multi-year megatrend of 5G and HPC-related applications are expected to fuel strong demand for our advanced technologies in the next several years. COVID-19 has also fundamentally accelerate the digital transformation, making semiconductors more pervasive and essential in people's life. In addition, the need to ensure supply security is creating short-term imbalance in the supply chain, driven by supply chain disruption due to COVID-19 and uncertainties brought about by geopolitical tensions. Now let me talk about TSMC's investment plan and disciplines. TSMC's mission is to be the trusted technology and capacity provider for the global logical IC industry for years to come. In order to support our customers' growth, TSMC is taking several action to help address the capacity shortage for our customers. We are working hard to increase our productivity, to drive more output, to help support our customers for the near term.
Jeff Su:
Operator: The first one to ask question, Randy Abrams, Crédit Suisse.
Randy Abrams: Okay. Yes. Thank you. And I wanted to ask the first question just about Intel. They did announce their plans to reengage in the foundry sector and also, I think making it clear, their goals are to get back to manufacturing leadership. So could you discuss how you're viewing them now as a customer and also the assurances you're getting in business sustainability and how you're managing the potential risk if they improve manufacturing and pull back on some of the outsourcing plans?
Jeff Su: Okay. Randy, let me summarize your first question. Randy's first question relates to Intel and their recent announcement to reengage on foundry and get back to a manufacturing leadership position. So Randy's question is how does TSMC view Intel as a customer? What kind of business assurances are we getting on the sustainability of the business? And how do we manage any of the potential risks?
C.C. Wei: Randy, let me start with TSMC is everyone's foundry and support all our customer openly and fairly. Intel is an important customer, and we will collaborate in some areas and compete in other area. And we always work with our customer to develop the necessary technology to support their products. Now let me comment a little bit on the competition. As a leading pure-play foundry, TSMC has never been short on competition in our 30-plus-year history, yet we know how to compete. We are -- we will continue to focus on delivering technology leadership, manufacturing excellence and earning our customers' trust. The last point, customers' trust, is fairly important because we do not have internal products that compete with our customer. So we can be the trusted technology and capacity provider and for years to come. And if you ask other comment, how we support Intel, we support them as an important customer. And we plan our capacity for the long-term industry megatrend also. It's not for the short-term demand.
Jeff Su: Okay. Does that answer your first question, Randy?
Randy Abrams: Yes. No, that's good on the first question. The second question and topic I wanted to discuss, you mentioned in your prepared remarks about the -- there is a bit more geopolitical pressure with particularly U.S. but also Europe and China. They all are being aggressive about domestic capacity. If you could give an updated view on your strategy, if any, shifts at the margin where you've traditionally won at the high scale in Taiwan. I'm curious for U.S. with the big land, just any plans to accelerate positioning with the potential eventually to do mega fab? If you could give an update on Nanjing, if there's plans to expand from the current -- I think you're at 20,000. And, if from a customer level, you're seeing shifts where more customers are starting to consider geographic location in the foundry consideration.
Jeff Su: Okay. Randy, let me try to summarize your second question. I think there's quite a few parts. I think first, Randy's question is on looking at sort of the geopolitical landscape and looking at this talk of fabs in different countries. So I think Randy, first, wants to know what is our progress or how do we see particularly U.S manufacturing; secondly, in other areas; and then thirdly, he would like an update on the Nanjing expansion; and lastly, how do customers feel about the need to manufacture in different countries. Is that correct, Randy?
Randy Abrams: Yes. That's correct. Yes. Thank you.
C.C. Wei: Randy, that's a lot of questions.
Randy Abrams: Sorry. You only gave us two.
C.C. Wei: Let me try to answer. The first one, actually, I would like to say TSMC have been a global company. We have a lot of manufacturing sites outside Taiwan, U.S., Mainland China, Singapore. But let me comment on the U.S. first. We have been in the U.S. for a long time, though. We set up WaferTech, got an 8-inch fab located in upstate Washington back in 1996 and has continued to operate the manufacture of chips for our customers today. And now we are increasing our presence in the U.S. with an advanced 12-inch semiconductor fab in Arizona and the progress is executing to our plan. And we are happy that we are joined the effort to support semiconductor manufacturing in the U.S. You also asked about our status in Nanjing. Did -- that you asked?
Randy Abrams: Yes. Yes.
C.C. Wei: The fab in Nanjing is progressing well. We already completed the first phase of 20,000-wafers capacity installation, and actually, it's in production for a while. And we are -- we also have a plan. Depend on the customers' demand and depends on the economics, we have a plan to expand the capacity also, okay? And other question in Taiwan, why we…
Jeff Su: Also, two others. One, Randy is asking with other regions also.
C.C. Wei: We never rule out any possibility with other region. But today, we already announced plan. We currently have no further fab expansion plan in other areas such as Europe. But we did not rule out any possibility. However, I want to emphasize, Taiwan will continue to be the main focus for TSMC. Our center of R&D and majority of production line will continue to be located in Taiwan, okay? Did that answer your questions?
Randy Abrams: Yes. That's clear. And maybe if you can clarify, for customer decisions, just that approach with Taiwan, is there -- are you starting to see it get raised a bit more about customers choosing location? Or are they still focused on the traditional just getting the best PPA, the best cost and delivery time?
Jeff Su: Right. So Randy's -- the last part of his question is, from a customer's perspective, is there a push by customers for this geographic diversification. Or what do customers want?
C.C. Wei: Well, our customer welcome we established a new fab in Arizona state. Let me say that. However, the most important one to them is technology, is the manufacturing, it's the efficiency that TSMC provides, okay? Actually, that's the most important one other than the consideration of geopolitical locations.
Jeff Su: Okay, Randy? Thank you, Randy. All right.
Operator: Next one on the line, Gokul Hariharan, JPMorgan.
Gokul Hariharan: My first question, could we talk a little bit about the $100 billion capacity plan for the next 3 years? Is that primarily a CapEx number? Just as you -- just seeing that this year already, we are spending about $30 billion. Should we be assuming that our CapEx is going to run around these levels or even higher in the next 2 years as well? So just wanted to clarify because there was some confusion whether that's a CapEx number or a CapEx plus R&D number.
Jeff Su: Okay. So I think, Gokul, your first question is that we intend to spend USD 100 billion in the next 3 years. Is that a CapEx number? And then also, what does that mean for the spending of the CapEx in the next 2 years?
Wendell Huang: Gokul, this is Wendell. Yes, $100 billion is CapEx number. Now we've already guided that this year will be $30 billion, but we're not going into the linearity in the next 2 years. You can actually have a feeling about what we will be spending in the next 2 years.
Gokul Hariharan: Got it. That's very clear. My second question is on the inventory cycle and a lot of the capacity expansion that we are seeing in older technologies. TSMC also is spending about roughly $3 billion based on the new guidance on specialty technologies as well. The industry also seems to be spending quite a bit of capacity there. What is TSMC's stake in terms of when we are going to see a bit more normalization in some of the older capacity? Does TSMC also subscribe to the view that even in 2022, we are likely to see some degree of capacity tightness or capacity shortage or TSMC feels that we will likely resolve this towards the end of this year or early next year?
Jeff Su: Okay. Gokul, thank you. Let me try to summarize your second question. Your second question is looking -- asking about the inventory cycle and particularly on the mature nodes, looking at the expansion in the mature nodes. And Gokul wants to know, I think, that on the mature notes, could we see some type of overcapacity and can the tightness continue to persist? Or will we start to see some kind of overcapacity or oversupply towards the end of this year or in 2022? Is that correct, Gokul?
Gokul Hariharan: Yes. Just to highlight, I think many of your competitors are talking about 2022 also being undersupplied in many of these process nodes. Just wanted to hear TSMC's view on that.
C.C. Wei: Well, Gokul, let me answer the question carefully because of -- we cannot rule out the possibility of an inventory correction or overbooking, something like that. But actually, we expect the structural demand to continue and we will work with our customer closely actually to develop some technology solution to meet customers' requirement and create differentiation and long-lasting value to our customer. As a result, actually we see the demand continue to be high. And the shortage will continue throughout this year and may be extended into 2022 also. Did that answer your questions?
Gokul Hariharan: Okay. So do you also feel that customers will continue to hold down to a higher level of inventory for quite some period of time? Is that the way you think about inventory as well?
C.C. Wei: Yes. We expect the customer, almost all of them, to prepare a higher level of inventory. That is because of, today, geopolitical tension continue to persist. Even the COVID-19 will recede sometimes, we hope as soon as possible, but it will continue for a while. And put 2 factor together and we do expect them to prepare a higher level of inventory, and I believe we've already seen that.
Jeff Su: Yes. Okay, Gokul? Does that answer your second question?
Gokul Hariharan: Thank you.
Operator: Now we have a Sebastian Hou from CLSA.
Sebastian Hou: So first one is on the pricing strategy. So I remember, 6 months ago, the company talked about sticking to the principle of respecting long-term partnership with customers. And the company doesn't seem to want to change the pricing on the mature technology nodes, which I mean28 nanometers above. So I'm wondering if that's still the case now or if the company now considers some upward adjustment. And if it's the latter, what has changed versus 6 months ago?
Jeff Su: Okay, Sebastian. So Sebastian's first question is regards to pricing. And he says that we always talk about long-term partnership with our customers. And he's saying, in particular, on the older nodes, 28-nanometer and such, we -- would we raise the price. So he's asking sort of what is the pricing strategy today and what has changed versus previously.
C.C. Wei: Sebastian, let me answer that. For more than 30 years, TSMC has provided stable and predictable pricing and we have refrained from opportunistic or short-term actions. But now as I said in my statement, the cost structure start to change, structural change, because of -- we have to invest on the leading-edge technology, which is more complex than ever. And we also increased the mature technology node capacity, which a lot of them already been fully depreciated and now we have to invest on the new tools. So we refrain from opportunistic and short-term action, but we also had to sell our value. So we are working with our customer closely, and we want to firm up our wafer pricing to a reasonable level. And we also work with our supplier to deliver the cost reduction, and we want to earn a proper return that enable us to continue to invest to support our customers' growth. And in today's term, capacity support is the most important one they are looking for. Okay.
Jeff Su: Okay.
Sebastian Hou: Got it. That's fair. And my.
Jeff Su: Do you have a second question? Yes, sorry, go ahead.
Sebastian Hou: Yes. I do have a second question. I think we're -- for many reasons, we have seen in many countries globally, they plan or they want to increase their -- build their own semiconductor fabrication capacity domestically. We're also seeing some IDM, they are forced to increase their in-sourcing or add some internal capacity because of the chip crunch. So my question is that IDM outsourcing has been one favorable driver for the foundry industry and TSMC growth in the past 3 decades and how TSMC see this trend evolving in coming years. And would you be concerning this could lead to some overcapacity in a few years even if some of those may not be effective? That is my second question.
Jeff Su: Okay. Sebastian, let me summarize your question. Your observation that countries are pushing for more domestic manufacturing and IDMs are also looking at expanding capacity. So Sebastian's question is looking at IDM outsourcing. Do we see this trend slowing down? Or how do we see it in the next coming few years? And could this result, this capacity that's being built, result in excess capacity?
C.C. Wei: Well, Sebastian, let me say that in our long-term forecast, we continue to see the IDMs outsourcing continue to increase. And so we prepare the capacity for that also. And we don't think that IDM tried to expand their own capacity will result in overcapacity situation because of we -- technology is the most important thing, let me say that. And we expand our capacity based on the customers' need. And we saw the technology leadership that provided their product to be very competitive in the market. So they are all happy to work with TSMC in developing their product for now, for the future. And so as a result, we continue to see the increased outsourcing from IDMs.
Jeff Su: Okay. Sebastian, does that answer your second question?
Sebastian Hou: Yes. Yes, it does.
Operator: Next one to ask question, Charlie Chan from Morgan Stanley.
Charlie Chan: So first of all, can I ask about the change of the 2021 revenue guidance? Can you explain where is the upside coming from, I mean, by applications will be great. And does that include some pricing adjustments for those revised in the guidance?
Jeff Su: All right. I think Charlie's first question is relating to our 2021 revenue guidance from now of around 20% to say what has changed versus last time. And he also wants to know, can we talk about, by application, what is driving this change. And what was the last part of the question, Charlie? Sorry.
Charlie Chan: Actually, that's it. And does that include -- capture some price hike as well?
Jeff Su: So his question is what is driving the change in the growth guidance for this year. And he would like to know which applications are driving it. And does it include some price increases in this guidance?
Wendell Huang: Okay. Charlie, first of all, we don't comment on price. I can share with you that we're everyone's foundry, our CapEx and capacity planning are based on the long-term demand profile underpinned by the industry megatrends, not short-term cyclical factors. We are seeing stronger engagements with more customers on 5-nanometer and 3-nanometer as compared to 3 months ago. And we work closely with our customers to plan the capacity, and we'll continue to focus our investments on advanced and specialty technology to support our customers' structural growth. Now this year, we expect -- in terms of platform, we expect that HPC and automotive platform growth will be higher than the corporate average, and the smartphone and IoT will be close to the corporate average.
Charlie Chan: Okay. Understood. So it seems like the upside coming cross-border or just some specific application. I know that HPC automotive are growing better. But just compared to last guidance, what was driving the upside?
Wendell Huang: Okay. Actually, all the platforms have upside compared to 3 months ago.
Charlie Chan: Okay. Got you. And then my next question is about your capital intensity in the long term. I mean I think 1 or 2 quarters ago, company updated capital intensity, and at some point, can flow back to like 35% capital intensity. I'm not sure if that's the case for the coming 3 years. And also, linked to that, what does that mean to the long-term gross margin trend? Because in today's conference call, I keep hearing some comments about structural cost increase. I'm not sure you said about the chemicals or equipment price. But would that kind of impact company's long-term gross margin trend?
Wendell Huang: Sure. Charlie, let me share with you. Capital -- I'm sorry. Go ahead.
Jeff Su: Yes. It's okay. Yes, I think, Charlie, your question is on capital intensity, looking at what is the capital intensity looking like the next few years. And how does this correlate with our stated long-term capital intensity of kind of mid-30s range? And then he also -- on the back of that, what does this mean for the long-term gross margin trend?
Wendell Huang: Okay. Charlie, in terms of capital intensity, I've actually given out several points already. First of all, if you look at -- we're saying in the next 3 years, we'll be spending USD 100 billion and this year will be $30 billion. We also say that in the next 5 years, we expect to grow between 10% to 15% revenue CAGR. So if you do math, you probably will have a good idea about where our capital intensity will be in the next 3 years. Now at this moment, we still expect that the capital intensity will go back to mid-30 level in the longer term. That's the capital intensity. In terms of gross margins, I think as C.C. has already mentioned, we see some challenges from manufacturing costs due to the increasing complexity of leading nodes, the new investment in mature nodes and some rising material costs. And therefore, we are taking actions to ensure that we earn a proper return by firming up our price, working with the supplier to drive the cost improvement. We expect that the 50% gross margin remains our target and is achievable.
Jeff Su: Okay?
Charlie Chan: Okay. Yes. That's a very, very quick -- so can I assume part of that $100 billion CapEx also associated to a cost increase? And if that's the case, how much of that is due to the cost increase versus the demand?
Jeff Su: This is -- I think the last part of this question is that then out of the $100 billion and this higher capital intensity, how much is due to the cost versus the demand.
Charlie Chan: Yes. Exactly.
Wendell Huang: Okay. Charlie, basically, we're seeing more engagement of our demand in the next few years. So I would say most of the CapEx come from the strong demand for our advanced technology and specialty technology, especially 5 and 3 nanometers.
Jeff Su: Okay. Thank you, Charlie.
Operator: Next one to ask questions, Bruce Lu from Goldman Sachs.
Bruce Lu: My question I'll just stick with the $100 billion CapEx. I mean assume this is the first time for TSMC to announce a multi-year CapEx. I think this suggests a very, very strong growth even beyond 2023, over $300 billion and plus. So can you give us a little bit more color about like what kind of application demand, which is strong enough to give the company such as high confidence for the CapEx? I mean we've seen through several cycles, but how can we have confidence just for the demand, like 3 to 5 years down the road? Also, assuming TSMC mostly invests in advanced nodes, do you foresee the mature node profit tightness continue and how and when this can be resolved?
Jeff Su: Okay. So Bruce has two questions. Both -- first is related to our CapEx. With such a high level of spending, what is giving us the confidence that we see out over the next several years to spend -- an intention to spend this $100 billion? And then his second -- well, maybe we'll go that first and then second question.
C.C. Wei: Okay. Let me answer that one first. In fact, we are seeing stronger engagement with more customers on 5-nanometer and 3-nanometer. And the engagement is so strong that we have to really prepare the capacity for it. And that's the main reason. So what is the second?
Jeff Su: And then his second question is then looking at our CapEx, with the majority of our CapEx being on advanced nodes, on the mature nodes then, will the, I think, the supply-demand gap in mature nodes further widen?
C.C. Wei: We did see the gap that mature node capacity not enough to support all the products in the market. So we are working with our customer closely to analyze the gap and we are also preparing to invest on the mature node, as I said in my statement. But most important, we are developing the technology, specialty technology, with the mature node to support our customers' need so their product can be very competitive in the market. And so we can have demand secured for the next few years and we decide to invest on the mature node capacity.
Jeff Su: Okay. Bruce, does that answer your 2 questions?
Bruce Lu: Okay. Can I take one?
Jeff Su: We have to limit to 2, sorry. There's a lot of people still waiting. Thank you.
Operator: Next one to ask questions, Robert Sanders from Deutsche Bank.
Robert Sanders: Yes. My first question is regarding your CapEx rising up to the mid-30s by 2023. Are you asking customers to commit earlier than normal on that capacity? And are you considering asking customers for prepayments? How do you derisk those capacity plans? And are you seeing an increased willingness to single source? My second question was how far are you actually booked out on capacity? And at which node is the biggest gap between demand and your capacity?
Jeff Su: Okay. Robert, we'll take your questions one at a time. So his first question is looking at our CapEx for the next few years. With this level of spending, do we see customer commitments that are earlier than normal? Are we looking for things like prepayments from customers to secure their commitments? This is the first question.
Wendell Huang: Okay. Robert, let me answer this first. The $100 billion of CapEx is decided because we see the fundamental structure demand increase from the megatrend, multi-year megatrend and the acceleration of the digital transformations. Now we cannot disclose the detail of our commercial terms with our customers. However, for us to make the investment decision will definitely require proper returns and secure customer commitments.
Jeff Su: Okay. And then Robert's second question is how far are we booked in advance in terms of our demand and which nodes do we see the biggest gap between what customers may want.
C.C. Wei: Well, I cannot comment on which node because almost all the nodes are in -- today is a high demand. However, let me stress again that our investment in the capacities for the future, many years to come because we work with customer closely to plan for the next few years as capacity support to them. And the customer talking to TSMC and they out their product plan for the next few years and it is 3 to 4 years, and we plan the capacity for that.
Jeff Su: Okay. Thank you. Thank you, C.C. Thank you, Robert.
Operator: Now we have Brett Simpson from Arete Research.
Brett Simpson: Yes. I had a question on the crypto activity at TSMC. I guess we've seen record hash rate expansion around Bitcoin basics and GPU mining in the last couple of quarters. So can you maybe share with us what portion of sales -- HPC sales is crypto at the moment? And then as we get into the second-half of the year, should we expect this to decline? And I wanted to get your perspective. A couple of years ago, we had extreme volatility around crypto. Bitcoin is now $1 trillion market cap. Is this good business for TSMC? Do you think this time will be different? I just wanted to get your perspective on this.
Jeff Su: Okay. So let me repeat your first question, Brett. He's asking about -- within HPC, looking at cryptocurrency, and he's asking what is the contribution we're seeing from cryptocurrency -- or crypto mining, I should say, to our revenue. And do we expect this -- how do we expect this to go in the second-half of this year? And then a longer-term question, which is how do we view this business.
C.C. Wei: Let me answer the question. TSMC's technology is a leading technology, and that's why even cryptocurrencies mining using TSMC technology a lot. But I don't -- and I cannot comment on what is the percentage or how much of this particular market sector to our revenue. However, I can say that cryptocurrency mining today is more mature than it was 2 or 3 years ago. And it remains a volatile market. However, we will continue to work closely with our customers in this field.
Jeff Su: Okay, Brett? And do you have a second question?
Brett Simpson: Yes, I did.
Jeff Su: Yes. I'm sorry.
Brett Simpson: Yes. I wanted -- yes. I wanted to talk about the inventory levels at TSMC at present. It grew quite significantly. And I think you mentioned that it was N5 related. Now many of your smartphone customers are staying they have shortages at leading edge and you're building inventories at 5-nanometer. So how do we reconcile that? And then just looking at Q2, would you expect inventories to rise again in the June quarter?
Jeff Su: Okay. Brett, so you're asking about TSMC's inventory days, right? And so Brett is asking what is leading to the increase in the inventory days at the end of first quarter. And then how do we expect this to trend in the second quarter?
Wendell Huang: Okay, Brett. We prebuild for our customers during seasonal low level as we did before. Now when we start to ramp in the higher season, the inventory usually come down naturally as before.
Jeff Su: Okay. Does that answer your question?
Brett Simpson: Yes.
Jeff Su: Great. Perfect. Thanks, Brett.
Operator: Now please welcome Roland Shu from Citigroup.
Roland Shu: My first question is also for this $100 billion CapEx. Can you clarify, is this year's CapEx of $30 billion included in this $100 billion or not? And also, I use your long-term capital intensity target. Last time, you said long-term is 3 to 5 years. And then I used this about $30 billion CapEx maybe in 2024. Then it implies your revenue in 2024 will likely to exceed $90 billion or even bigger, which is more than double than 2020's level. So my question is, are there any challenges to you to recruit and train up enough amount of the talent to support such a fast growth for you going forward?
Jeff Su: Okay. Let me summarize your questions, Roland. So first, Roland is asking this $100 billion CapEx. Does this include 2021 of around $30 billion? And then he's asking about if we look at the longer-term capital intensity, what does this kind of imply for 2024 and '25 CapEx and capital intensity? And then another part is that with this pace of growth, how do we recruit the talent to support our operations?
Wendell Huang: Roland, yes, $100 billion include this year's CapEx. And we've talked about the 3-year, $100 billion, '21, '22 and '23. The capital intensity, I think, as I said earlier, you can probably do some calculation and have a feeling about the capital intensity in those 3 years. Longer term, we do see that the capital intensity will go back to about mid-30s level at this moment.
Jeff Su: And his second question is then how do we recruit talent to support our growth.
C.C. Wei: Roland, this is a very good question. Very good question. The talent people recruiting is one of our top priorities in recent years. And fortunately, we have communicated with the government and get Taiwan government's strong support. So they are now pushing for a new program to hire -- not to hire, to actually to enable the student to be in the semiconductor area, major in this area. And internally, TSMC also have a very rough system. Right now, we just established to train all the newcomer and all the new engineer to be more -- they can grow faster. So externally, we got the help from government. Internally, we do our own part also to enhance the training. And that's the way that we try to meet the requirement of enough talent people inside TSMC.
Jeff Su: Okay. Thank you, Roland. I think that was.
Roland Shu: Yes. This actually is one question.
Jeff Su: That's two questions, Roland, okay. Roland, we're happy to have you get back in the queue.
Operator: Next one for question is Andrew Lu from Sinolink Securities.
Andrew Lu: Yes. My first question is can we know what kind of percentage capacity increase on 8-inch specialty foundry and 12-inch mature -- 12-inch advanced for the next 3 years? Maybe just the average will be fine.
Jeff Su: Okay. So Andrew's first question is on the capacity increase. He wants to know, in the next 3 years, how much capacity already increasing on 8-inch and then how much capacity are we increasing on the 12-inch.
Wendell Huang: Andrew, let me share with you, we don't disclose that kind of details. But basically, 80% of the CapEx will be spent in advanced technology, about 10% in advanced packaging and mask making and another 10% in specialty technologies.
Jeff Su: In the next 3 years.
Wendell Huang: In the next 3 years.
Jeff Su: Okay. Andrew, do you have a second question?
Andrew Lu: Yes. I do have the second question, but the first question doesn't really answer. So can I have 2 more?
Jeff Su: No. We do not comment on the capacity by 8-inch or 12-inch, I think, Wendell has just said.
Andrew Lu: Okay. Okay. Then second question is not related to price. Assuming the next year, our rebate to the customer has been removed. What kind of percentage -- additional growth we should factor into our model?
Jeff Su: Okay. So Andrew's second question is assuming next year that the rebates have been removed, how much will this drive additional growth in next year and how should he factor this into his model.
C.C. Wei: What is kind of pricing is strictly confidential between TSMC and TSMC's customer. So I don't think that we can comment on that one, whether it's rebate, whether it's any other activities.
Jeff Su: Okay. Thank you. Thank you.
Operator: Next one to ask question, Sunny Lin from UBS.
Sunny Lin: So my first question is also on CapEx. So when you plan for CapEx for this year and next few years, do you think the equipment supply could be a potential bottleneck in terms of the additional upside that you can spend? Well, I think several equipment makers have mentioned that based on this year's industry CapEx, they are already -- explain supply tightness, especially for EUV. So any color would be appreciated.
Jeff Su: Okay. So Sunny's first question is that with our CapEx plan, do we see or face any equipment bottlenecks in terms of securing the tools and equipment. And I think part of your question is also particularly with regards to EUV.
C.C. Wei: Well, let me answer the question. In fact, when we plan $100 billion CapEx, we also work closely with our supplier and -- to prepare in advance. So we don't expect -- certainly, we don't expect any bottleneck, whether it is EUV or not and actually we work closely with them.
Sunny Lin: Got it. Right. So would it be fair to assume that when you announced this $100 billion CapEx for next 3 years, it's already -- you already have a commitment from your suppliers?
C.C. Wei: The answer is yes.
Sunny Lin: Got it. My second question is 3-nanometer. Now we are just about a year before the mass production in second-half of 2022. So at this point, how should we think about the revenue contribution in its first year of commercial production? I think for 5- and 7-nanometer, they could get to high single digit of revenue or even close to 10% in first year. So just want to get your thought on that.
Jeff Su: Okay. So Sunny's second question is looking at 3-nanometer. And with the schedule for production, how should we think about the revenue contribution from 3-nanometer in its first year?
Wendell Huang: Sunny, that's too far to talk about that. We will update you later on. That is about 2 or 3 years away, yes. But we do expect it's big and long-lasting nodes, just like the former N5.
Jeff Su: Okay. Thank you, Sunny.
Operator: Right now, we have Laura Chen from KGI.
Laura Chen: Yes. My first question is still same -- similar to previous question about inventory days and inventory level. I think both Wendell and C.C. mentioned already that high inventory probably will proceed for a while. But in what level we may start to worry about that? Or what would be the checking point? Because so far, we all know that the demand outlook and TSMC's -- and particularly in the advanced node are quite tight. But what would be the checking point we closely follow? That's my first question.
Jeff Su: Okay. So Laura's first question is with regards to inventory and inventory levels. She understands the demand is tight. But do we worry about the inventory levels? What are the type of checking points that we would look at.
C.C. Wei: Well, let me answer that question. Yes, I did say that our customer want to secure the supply, actually, at this moment. That's due to some imbalance in the supply chain. And they are preparing for the future also. But how we are going to do to test this, what is the checking point, actually let me say that we are working with our customer closely. It's not daily, it's at least that we check very often. And we make sure that all the demand to TSMC has been secured, and we prepare the capacity for that.
Laura Chen: Okay. And my second question is also about the mature node. I think C.C. mentioned about some specialty design, special technology for mature node. I recall you mentioned before about the CIS progress and also the gallium nitride progress. Can you give me more update or some special technology you are working now with the mature node, which may be the expansion in the next few years?
Jeff Su: Okay. So Laura's second question is looking at the mature notes and that C.C. mentioned that our strategy is to work with customers to develop specialty technologies at those mature nodes. So she is wondering if we can give little more examples of what types of specialty technologies. Is that correct, Laura?
Laura Chen: Yes. And also FD-SOI as well, if it's possible.
Jeff Su: And FD-SOI in other areas.
C.C. Wei: Well, let me answer the last one first. We don't work on the FD-SOI per se. But we develop the specialty technology for CMOS image sensor, as I mentioned previously, and the technology continue to improve because if you look at the application of the CMOS image sensor in the smartphone, in the automotive, there are a lot, okay? And we also -- in fact, the most important one also is ultra-low power that we develop the technology to meet the requirement of the mobile world. I mean that everything is portable. So ultra-low power is very important. Gallium nitride, all those kind of specialty, we continue to work with our customer, and for the future, high-frequency application or the high-voltage applications. We also work on the RF technology. Radio frequencies is important because of 5G's era. The RF become fairly, fairly important in application in the WiFi communication area and a lot of them.
Laura Chen: So following that question, do we have space or any capacity to further expand those technology here in Taiwan?
Jeff Su: So Laura is asking then will space be a constraint or limitation for the specialty.
C.C. Wei: Good question. We are working with our customer to expand our capacity whenever necessary.
Jeff Su: Okay. Okay. Right. Thank you, Laura.
Operator: Next on the line is Rick Hsu from Daiwa Securities.
Rick Hsu: Yes. I just got one question here. I think your top -- regarding your second quarter guidance. The revenue is going to grow sequentially in U.S.dollar terms. And also, if I don't remember wrong, Wendell did say that your inventory increase in Q1 was mainly because your customers prebuilt inventory for 5-nanometer. So that assumes that your 5-nanometer contribution will also increase in second quarter. So -- and also the exchange rate, also not getting worse, right? So against the backdrop of these 3 positive factors, right, revenue increase, 5-nanometer increase and favorable exchange rate, why your gross margin guidance for the second quarter is below your first quarter.
Jeff Su: Okay. So Rick's question is looking at the second quarter and looking at the gross margin guidance. Why is it basically lower than the first quarter or is sequential declining if you use the midpoint?
Wendell Huang: Okay. Rick, let me explain to you. The sequential decline is mainly due to mix as the contribution from N5 will increase, but it still carries a dilutive effect. And secondly, we see a slower rate of cost improvement as our fabs continue to run at a very high level of utilization, leaving last time to do cost-improvement activities. And lastly, a more technical thing is the absence of a positive inventory revaluation in the quarter.
Jeff Su: Okay. Thank you, Rick.
Operator: Next one to ask questions is Aaron Jeng from Nomura Securities.
Aaron Jeng: This question was not asked before, so I wish to ask before end of the call. You state customers' engagement on N3 and N5 are stronger than what you saw 3 months ago, which drives your $100 billion CapEx for the next 3 years, okay? Then let's ask in this way: compared with 3 months ago, are you now projecting a bigger market share gain potential over the next 3 years as pure foundry market and your widening technology leadership at the best now? This is my only question.
Jeff Su: Okay, Aaron. So Aaron's question is looking at the fact that we said customer engagement at 5-nanometer and 3-nanometer are stronger than what we saw a few months ago. So does this mean that we're going to -- expect to gain bigger or larger market share as a result. Is that correct, Aaron?
Aaron Jeng: Yes. And a bigger market share than expected 3 months ago.
Jeff Su: Versus 3 months ago.
C.C. Wei: Okay. Let me answer that question. Certainly, as compared with 3 months ago, we have some progress in engaging with the customer to get their commitment to work with TSMC on 5-nanometer and 3-nanometer. And whether this one is the indication of TSMC's technology leadership, I would happily to say yes. We are continuing -- but the most important thing actually is that we are continuing to work with customer to develop the technology they need for their product. Each customer has a different kind of preference and we always can meet their demand.
Jeff Su: Okay. Thank you, Aaron.
Operator: Next one to ask question, Mehdi Hosseinii, SIG.
Mehdi Hosseinii: Yes. My first question has to do with some of the comparisons that you provided during last earnings conference call, you were comparing the capital intensity and a growth prospect to the period of 2010 and 2015. In that context, my question has to do with depreciation. Back then during the period of 2010 through 2015, depreciation increased at a growth rate of 20%. How do you see that growth rate changing in the period of 2020 and 2025? And I have a follow-up.
Jeff Su: Okay. So Mehdi's first question is looking at, I think, basically, looking at depreciation and looking at as we enter a higher period of growth, what does our depreciation look like. And also, he is asking about the depreciation growth or increase. Given that we expect to grow between 10% to 15% in 2020 to '25 CAGR period, what does the depreciation growth look like this year and then beyond?
Wendell Huang: Okay. I can share with you that the depreciation this year will be around 30% higher than last year. And we are not ready to share with you the rest of the 5-year period depreciation at this moment.
Jeff Su: Okay. Do you have a second question, Mehdi?
Mehdi Hosseinii: Okay. Sure. Yes, I have a second question. You raised your CapEx spending, given the increased demand by your customer. But your revenue growth target remains the same at 10% to 15%. Why aren't you raising the revenue target as you're raising the CapEx?
Jeff Su: Okay. So I think Mehdi is asking that we raised the CapEx spending. And so why -- what is our view of the growth target, 10% to 15%? Why are we not raising that as well?
Wendell Huang: Mehdi, actually, if you think about this 10% to 15% 5-year CAGR, it's a pretty big range. From what we currently forecast, the revenue target is still within that range, maybe higher to the -- closer to the higher end than last time.
Jeff Su: Okay. Thank you, Mehdi. Thank you.
Operator: Now we have Randy Abrams from Crédit Suisse.
Randy Abrams: Okay. Yes. The first one on the back end, that's keeping pace. Could you give an update on the spending and momentum you're seeing for the new SoIC and then also how the CoWoS and InFO are progressing?
Jeff Su: Okay. So Randy's first question is on our advanced packaging solutions. He wants to know -- want an update on how SoIC is progressing as well as CoWoS and the other solutions. Is that right, Randy?
Randy Abrams: Yes. That's correct.
Jeff Su: Okay.
C.C. Wei: Okay. Let me comment on the SoIC first. This is the most advanced back-end technology, I think, that we offer to our customer. And it will start to small volume production in 2022. And it's also actually adopted by a very high-performance HPC applications. As for InFO and CoWoS, we continue to expand our customer portfolio. And I expect that the business from InFO and CoWoS will start to -- will continue to increase in the next several years.
Randy Abrams: Okay. Great. And just I have one quick one on that. You mentioned very high-performance applications. SoIC, in a couple of years, as it ramps, should that be a big -- like also, do you expect a pretty big ramp like we saw in the past for InFO or it should be a good volume runner for TSMC? And then I wanted to ask a second question. Just a couple of clarification on gross margin in second-half. 5 will be getting more mature. So I'm curious, factoring your depreciation guidance, 5 getting more mature, if your view is 50% gross margin or if you're running very tight utilization, we may be able to stay a bit above the long-term range in the second-half.
Jeff Su: Okay. So a quick one. He wants -- Randy wants to know SoIC, will it be a large contributor? How large can it be in a few years' time? And then also on gross margin, the gross margin outlook for second-half.
C.C. Wei: We hope that SoIC going to be adopted by all those HPC applications customer. But I cannot nail down what is the specific revenue number in the future. But we do expect our back-end service will continue to grow. And the rate -- the growth rate will be a little bit higher than the corporate average.
Wendell Huang: Okay. Randy, about second-half gross margin, it's a bit too early to give details on that. However, you've already mentioned several things. N5 will become bigger in contribution to the revenue. It still has -- carries a negative or dilutive effect on the margins, about 2 to 3 percentage points. Utilization is pretty -- still pretty tight. And we continue trying to improve our cost under this very high-utilization environment. So that's all the things we can share with you at this moment.
Randy Abrams: Okay. And if I can fit in.
Jeff Su: Sorry, Randy. I'm sorry, that's 2 questions because we're -- yes, thank you.
Operator: Okay. The next one will be Gokul Hariharan from JPMorgan.
Gokul Hariharan: My first question is how should we think about HPC in terms of the demand cadence for second and third wave? I think when smartphone was our big growth driver in the last 10 years, we had leading-edge growth from processors, et cetera, but we also had a lot of other ICs in smartphones as well as our applications, which drove the second, third, fourth wave of demand for any process node. So now that HPC seems to be one of the key drivers for growth, how do we think about second-, third-wave demand? Would it keep up with the first and second wave for N5, N3, et cetera? Or should we think about TSMC will be doing more capacity conversion compared to in the past? That's my first question.
Jeff Su: Okay. So Gokul's first question is looking at HPC and looking at how HPC is also, along with smartphone, becoming the first-wave adopters of our leading-edge nodes. He's wondering then, though, for the second and additional waves of demand, will HPC -- how do we see HPC driving additional waves of demand or will we convert capacity.
C.C. Wei: Let me make some comment. Actually, the HPC application includes many different subsegment such as CPU, GPU, networking, FPGA, AI-accelerated video gaming, et cetera, et cetera. And each one will have their own migration path and product life cycle also. So we expect to see HPC, not only in the first wave, but in additional waves of demand to support our leading node in the future, actually. Did that answer your questions?
Gokul Hariharan: Okay. That's clear.
Jeff Su: Do you have a second question?
Gokul Hariharan: Second question, just wanted to -- yes. Just wanted to follow up on any thoughts from TSMC on the Arizona fab capacity. I think you've already announced 20,000 of wafers per month of 5-nanometer coming up in 2024. What has been your discussion with customers regarding any potential upside to this capacity? Are customers asking for more capacity there? Do you feel that we -- right now, this seems more like an n-1 cadence because 5-nano started in Taiwan in 2020 already. Do we feel that we will move to a more -- shorter or a quicker cadence for leading edge in, let's say, Arizona or U.S. capacity? I just wanted to understand how TSMC is thinking about this right now.
Jeff Su: Okay. Gokul's second question is on our U.S. manufacturing and our fab in Arizona. He wants to know that our customer is asking for more capacity or more production. And also, we start with N5, I guess your question is what about the future plans for bringing additional technologies there and the cadence.
C.C. Wei: Okay. We are executing our plan in Arizona according to the schedule and construction will start this year. Phase 1 production, as you said, we are starting 2024 with a 20,000 wafer per month 5-nanometer technology. But in fact, we have acquired a large piece of land in Arizona to provide flexibility. So further expansion is possible, but we will ramp up to Phase 1 first, then based on the operation efficiency and cost economics and also the customers' demand to decide what the next steps we are going to do. Our customer world commerce to build capacity in the U.S., and our fab in Arizona will be available to support all our customers from around the world and just like other -- all the TSMC's fab, no matter where they are and no matter where they're located.
Jeff Su: Okay. Thank you.
Operator: Yes. The last one to ask question, Sebastian Hou, CLSA.
Sebastian Hou: Yes. I only have one question. So just a follow-up on C.C.'s comments earlier, that C.C. mentioned that TSMC has been working closely with the customer to analyze the gap between capacity and demand on the trailing-edge nodes. So wondering if you could share some color with us. If we exclude the overbooking portion and based on your best analysis, does the demand still significantly exceed supply? And how big is the gap, if you have any rough number that can be shared? Furthermore, based on the CapEx you and your peers are investing in the capacity expansion lead time, when do you think the tightness can be eased or the whole shortage situation can be removed? That's the only question I have.
Jeff Su: Okay. Let me try to summarize your question, Sebastian. You're asking, on the mature nodes, the fact that TSMC works with our customers very closely, but also in looking at the supply/demand of those older nodes. So with the additional capacity added, will -- when and will we eventually see an easing of the supply tightness at the mature nodes? Is that correct, Sebastian?
Sebastian Hou: Yes. And also, if you can, if we exclude the overbooking part, with your best estimate, whether the demand is still exceeding supply right now.
C.C. Wei: All right. To be frank with you, as I said, we work with customer closely. And so the overbooking is not in our calculation, although we did not exclude it out of this possibility. But we do the very detailed analysis internally, and as I said, work with customer closely. And so we prepare the mature node capacity for them. However, building a fab from a green fab start and also to install the capacity, it won't be available until 2023. And so this year and next year, I still expect the capacity tightening will continue and probably also next year. 2023, I hope that we can offer more capacity to support our customers. And at that time, we start to see the supply chains tightening will release a little bit.
Jeff Su: Okay. Sebastian, does that answer your question?
Sebastian Hou: Yes. So is it fair for us to conclude that in the next 18 months, it is very safe to assume that we will still be in the supply tight situation, is that right?
C.C. Wei: For our customers, we are working with them, let me say that. But it's still very tight. Yes, you are right.
Jeff Su: Okay. Thank you, Sebastian. This concludes our Q&A session. Before we conclude today's conference, please be advised that the replay of the conference will be accessible within 4 hours from now and the transcript will become available 24 hours from now, both of which are going to be available through TSMC's website at www.tsmc.com. So thank you for joining us today. We hope everyone continues to stay healthy and safe, and we hope you will join us again next quarter. Goodbye, and have a good day.